Operator: Good day and welcome to the Reinsurance Group of America Second Quarter 2014 Results conference call. Today’s call is being recorded. At this time, I would like to introduce the President and Chief Executive Officer, Mr. Greig Woodring, and Senior Executive Vice President and Chief Financial Officer, Mr. Jack Lay. Please go ahead, Mr. Lay.
Jack Lay: Okay, thank you and good morning to everyone joining us for RGA’s second quarter 2014 conference call. Both Greig, our CEO and I will be addressing the call this morning. We will discuss the second quarter results after a quick reminder about forward-looking information and non-GAAP financial measures. Following our prepared remarks, we will be happy to take some questions. To help better understand RGA’s business, we will make certain statements and discuss certain subjects during this call that will contain forward-looking information, including among other things investment performance, statements relating to projections of revenue or earnings, and future financial performance and growth potential of RGA and its subsidiaries. Keep in mind that actual results could differ materially from the expected results. A list of important factors that could cause actual results to differ materially from the expected results is included in the earnings release we issued yesterday. In addition, during the course of the call, we will make comments on pre-tax and after-tax operating income which is considered a non-GAAP financial measures under SEC regulations. We believe this measure better reflects the ongoing profitability and underlying trends of our business. Please refer to the tables in our press release and quarterly financial supplement for more information on this measure and reconciliations of operating income to net income for our various business segments. These documents and additional financial information may be found on our Investor Relations website at rgare.com. With that, I’ll turn the call over to Greig.
Greig Woodring: Thank you, Jack, and good morning everyone. Thanks for joining us this morning. I’ll provide some general comments on the quarter, Jack will go over the financial results, and then we’ll open it up for Q&A. Our second quarter results were strong, benefiting from an increase in the diversity of our sources of income as our international and our global financial solutions businesses continued their recent momentum and the U.S. individual mortality business was back in line. Operating earnings per share were $2.23 and operating ROE exceeded 12%. Premium growth was a solid 7% in both the current quarter and year-to-date, and our new business activity was strong. Overall underwriting experience was in line with expectations. While we continued to have some normal short-term claims volatility in individual segments, the diversification benefits of our wide geographic base and product suite provide relative stability. Our Australian operation had another quarter where bottom line and reserve development were generally in line with the assumptions we laid out a year ago. On the capital management front, we continued buying back shares in the second quarter, bringing the year-to-date total to about 2.3 million shares for a total cost of $177 million. We are also pleased to report a 10% increase in our shareholder dividend and continued growth in book value per share, which excluding AOCI increased over 5% so far this year and has increased 11% since the second quarter of last year. From an overall macro standpoint, the outlook remains good as we continue to see good demand for our solutions on a global basis. Recognizing that we have a robust product suite, we’re leveraging our capabilities across our global platform and we have strong positions in most key markets, a good balance across our range of businesses and geographies as more developed markets provide us with solid profit streams and excess capital generation, while other markets offer more vibrant opportunities due to market growth, regulatory change or demographic influence. The U.S. individual mortality environment is unchanged – that is to say, competitive but rational – and we continue to find ways to be additive to clients in the marketplace. Our new business activity was solid in the second quarter. Currently GFS and Asia Pacific exhibit strong market demand, matching up well with our capabilities and our market position. Though we remain optimistic as we look forward, we’ll remain diligent in focusing our incremental capital and our efforts on the areas with the highest potential. We continue to evaluate a range of opportunities to deploy excess capital and our organic growth is currently very healthy. We still face some headwinds with interest rates being the most obvious, but we hope to see moderation of that trend. With that, I’ll turn it back over to Jack to discuss our financial and our segment results.
Jack Lay: Okay, thanks. We reported operating income of $155 million this quarter, or $2.23 per diluted share, versus a loss a year ago when we took a significant charge in Australia. Overall, the effect of foreign currency fluctuations was minimal relative to the second quarter of 2013. Net premium growth was again solid at 7% in the U.S.—or I’m sorry, in U.S. dollars, and 8% in original currencies for both the quarter and year-to-date periods. Our average investment portfolio yield was 4.79% this period, a slight increase over a year ago quarter and versus the first quarter of 2014. New money investment rates average a little more than 4% for the quarter. While these yields are in line with our expectations, as of the beginning of the year rates have obviously moved back somewhat so we could face some slight downward pressure on portfolio yields as the year goes on. We repurchased about 800,000 shares this quarter for roughly $64 million. We estimate our current excess capital position to be a little north of $500 million currently, and we continue to evaluate the most efficient and effective uses for that capital. Now turning to our segment results, the U.S. and Latin America traditional sub-segment reported pre-tax operating income of $89 million, which was up slightly from $87 million last year. Individual mortality claims – experience was much improved versus the first quarter and back in line with our expectations, but the segment was a little below expectation as our group operation was off somewhat and we had some client reporting adjustments in the individual mortality business that went against us as well. Premiums grew 5% quarter-over-quarter with all traditional products contributing the growth. Our asset intensive business in the U.S. reported pre-tax operating income of $44 million, above the recent range as favorable spread performance continued and relatively stronger equity markets provided a boost. Our financial reinsurance line continued to report strong fee income growth, up 14% in the quarter and 30% for the year due to the continued build-up of treaties and the fairly high level of activity this quarter in particular. Canada had a challenging quarter and posted pre-tax operating income of $31 million as we again experienced an above average number of large claims, although at a reduced level compared to the first quarter. The claims experience did improve in June, and we continue to think this is just normal volatility as there was no pattern that suggested any systemic underlying trend. Additionally, a relatively stronger U.S. dollar versus the Canadian dollar lowered pre-tax operating income by about $2 million. Premiums were up 6% quarter-over-quarter, reflecting a significant adverse currency effect whereas local currency premiums increased 13% over the last year. In Europe, the Middle East and Africa segment, pre-tax operating income totaled $45 million, above our expectations with very favorable claims experience in the U.K. this quarter being the primary driver and collective strength across most of the other markets in this segment as well. The EMEA premium growth was 17%, including a foreign currency tailwind of $21 million. In original currencies, premiums were up 9%. In Asia Pacific, pre-tax operating income totaled $29 million versus a significant loss last year. The results were stronger than expected due to ongoing underlying growth across most markets along with a boost from higher fee income associated with a transaction in Japan, which contributed about $11.5 million pre-tax. That transaction involved the conversion and reinstatement of an existing treaty. Net premiums totaled $394 million, up 11% in translated currencies and 14% in original currencies. We saw good premium growth segment-wide, particularly in Korea and Japan as these two markets, our second and third largest markets in the region respectively, have overcome some previous headwinds and have reaccelerated their growth. Segment premium growth also reflected premiums in Australia that were flat versus a year ago, including the net effect of some runoff of treaties, premium rate increases and other adjustments. As Greig said, Australia had a small gain for the quarter, just above break-even as we continue to work through a fairly fluid process, including the consideration of renewals and related repricing and other ongoing actions and effects and response of the evolving market conditions there. In this quarter we executed a treaty recapture, and various other transactions significantly affected several income statement line items, including other revenue, claims and other policyholder benefits, and policy acquisition costs. Our corporate segment reported a pre-tax operating loss of $14 million this period compared to $7.5 million last year. The current period includes about $5 million of interest expense associated with the senior note offering last September and some modestly higher corporate expenses for incentive accruals. In terms of run rate, we would expect a pre-tax run rate of roughly $10 million to $12 million in terms of losses each quarter from that segment, although it can be somewhat lumpy. The company’s effective tax rate on operating income was 34.6% for the quarter and 33% on a year-to-date basis. Our best estimate of the effective tax rate on operating income is approximately 33% to 34% going forward. This change relative to our previous expected range is primarily due to the ongoing changes in the mix of income in terms of which countries are generating that income, and some of those countries have lower corporate tax rates. In summary, we are pleased with the strong overall quarter, recognized the $0.11 per share lift from the fee transaction in Japan. Individual mortality experience in the U.S. rebounded from the first quarter and underwriting results were much improved in the U.K. and across Europe. Our capital management efforts have been meaningful, noting the 4% reduction in average shares outstanding and 10% dividend increase that we announced in the press release. We thank you and appreciate your support, and with that we will take questions.
Operator: [Operator instructions] We’ll take our first question from Jimmy Bhullar with JP Morgan.
Jimmy Bhullar – JP Morgan: Hi, good morning. First just on the capital deployment, I think you bought back about $177 million of stock this year, so more than what we would have assumed. What are your expectations for buybacks in the second half of the year, and any views on when you expect to complete your remaining program of $123 million, whether it’s this year or next year? And then on Australia, if you could comment on how much of the block is running off versus what you’ve been able to reprice. It seems like you might have been able to reprice more and the premium decline in that business might be lower than what were the thoughts when you took the charge initially.
Jack Lay: Jimmy, this is Jack. Let me take the question on capital deployment. Yes, we have accelerated a little bit if you take a look at the first two quarters of this year of our buyback program. I think you should anticipate that we will moderate that program in the second half of the year. It’s unlikely we’ll continue to buy back at that same rate, particularly since we continue to look at other opportunities to deploy capital into the business. So we’re always trying to weigh the potential for a buyback against deployment into the business, and as I said, we continually have discussions underway in terms of potential block transactions. So long story short, you can expect us to diminish at least somewhat the buyback program in the second half unless we’re really presented with some significant buyback opportunities.
Greig Woodring: On the Australia situation and the roll forward, we’ve essentially repriced most of the individual life business. If you remember, the Australia marketplace for us is about equal, more or less equal individual and group business. The group business is where we set up the big reserve last year, although the individual business was something that was not performing as we would have liked it to as well. We put through increases on the individual side and there’s been a fair amount of noise on that, but that’s pretty well in hand at this point. The group side, some of the group business has rolled off. We extended one treaty for a year beyond where we would have ultimately had to take it, but we did it at a very large premium rate increase and so there’s a little bit of mixed reactions there too. But the business is overall showing Australian premiums pretty much stronger than we would have expected a year ago, but they are all very conscious decisions on our part about when it makes sense based on the conditions and our experience and our understanding of the marketplace.
Jimmy Bhullar – JP Morgan: Okay, and the last one on asset intensive, the earnings the past couple of quarters have been better than what you had guided to initially, so is it the business is performing better or is it just the benefit of the strong equity markets, and has it caused you to review your guidance for that business?
Greig Woodring: I think it’s really a little bit of both. Equity markets have been strong. We don’t have an overwhelming effect of equity influence in our business, but every little bit helps; and just the general lock-in margins have been pretty good and we’ve taken opportunities to tweak our business and to ratchet those margins up when they present themselves. So we continue to work at it, their treaties that we can continue to execute on.
Jimmy Bhullar – JP Morgan: Thank you.
Operator: We’ll take our next question from John Nadel with Sterne Agee.
John Nadel – Sterne Agee: Hey, good morning. A couple of quick questions for you. So it’s interesting – you characterize, I think overall on a company-wide basis that underwriting results were roughly in line with your expectations. Do I have that right?
Jack Lay: Yeah, that’s right.
Greig Woodring: Pretty much.
John Nadel – Sterne Agee: Okay, so if I think about the EMEA segment—I mean, how much favorable relative to your expectations in rough terms was EMEA this quarter?
Jack Lay: This is Jack. That contributed about $12 million to $15 million of favorable variance.
John Nadel – Sterne Agee: Okay, so then the offsets are really more in the Canadian-U.S. group. Anything else?
Jack Lay: No, I think you pegged it pretty well. It was the Canadian operation and the group part of the U.S. operation.
John Nadel – Sterne Agee: Okay. Greig – boy, top line growth was really impressive this quarter. I guess even year-to-date it’s been pretty good, Japan and Korea really contributing to the pick-up in Asia Pacific. My question – and maybe you can take this more at a regional level – how sustainable do you think that is as you look out to the market opportunities right now? I imagine you have a reasonable amount of visibility, at least over the near term.
Greig Woodring: Yes, in particular the Asian growth, take Australia out of it, it’s a little bit of a wildcard in a different special situation, of course. But Asia growth has been very strong for several years, and it just continues to move along in fine fashion. Now, what’s actually happened and made some things visible is in Korea and Japan, as we talked about, we had some treaties that came to the natural end of their life and we had basically holes that we had to refill in the pipeline, but the underlying growth was pretty good even in Japan and Korea in the last couple years if you take where we were in those situations into account, so we’re pretty pleased with that. We think that the Asia growth is sustainable in the intermediate term. In Europe, some of the growth is longevity, some of it is related to regulatory changes in GFS, but we’re seeing good opportunities in Europe and overall we’re pretty pleased with where growth has been this year.
John Nadel – Sterne Agee: Okay, and maybe could you expand a little bit on Japan and Korea? I know you had a couple of those treaties that you had big—maybe you had coinsurance arrangements, is that right, that those products sort of ran and ran out, I suppose. But what are you seeing driving the growth now? Is it similar coinsurance type arrangements, or has it been more on the block side?
Greig Woodring: No, it’s more organic growth. It’s coinsurance. There’s a lot of product development, there’s a lot of high net worth business in Asia, there’s some underwriting oriented production in some of the markets. It’s a mixture of a lot of different things. Our Asian teams are very proactive, very creative and very skilled at assessing and helping customers meet the needs that they have.
John Nadel – Sterne Agee: Okay. One last one, just thinking about the U.S. group side. Could you characterize what the weakness was? Was it a matter of incidents, severity, a combination of the two, any particular products in particular there?
Greig Woodring: Yes, it was on the health side this time. The group business runs about four sub-businesses, and there’s one particular that was sort of off track a bit. The group business has performed very well for us over the course of time, but there’s a lot of variability in that and the thing about the group business is it’s very short-term fixable. So when things get out of whack, they’ll come back into whack as soon as we get through repricing, of if it’s just a fluctuation we’ll note that, too. We don’t see anything alarming in this. This is not a business that we’ve had bad experience on over an extended period of time. It’s just not very good this quarter. Last year, it was frankly the group life business that was the weakest of the four businesses, and so the others were pretty strong.
John Nadel – Sterne Agee: Thanks very much for the answers.
Operator: Next we’ll hear from Ryan Krueger of KBW.
Ryan Krueger – KBW: Hey, good morning. I wanted to follow up on the EMEA underwriting answer, I guess, because if I subtract $50 million or so of outperformance on underwriting, that would still suggest about a $30 million quarterly run rate for the EMEA segment, which is quite a bit above where it’s been the last few years. So I just wanted to confirm that, or maybe there was something other than underwriting that drove strong results in the quarter.
Jack Lay: Ryan, this is Jack. My response on the question, and I may have misunderstood, related to the U.K. part of EMEA, so we did have some other positive influences in terms of mortality variances segment-wide, so maybe that’s why you’re having trouble reconciling.
Ryan Krueger – KBW: Oh, got you. Could you quantify how much the other areas outside the U.K. contributed relative to expectations?
Jack Lay: Yeah, going from recollection it was north of $5 million, probably $5 million to $8 million.
Ryan Krueger – KBW: Okay, that’s helpful. Thanks. Then it seemed like you may have in your answer to the buyback outlook – I don’t know if I’m interpreting this correctly – but it sounded like you might be a bit more optimistic about block opportunities going forward. Was that the case?
Jack Lay: Yes, I would say—well, that may be putting too fine a point on it. Since we’ve already bought back about $177 million, you can look at it as we kind of front end loaded some of that buyback activity and so maybe we’re a little more circumspect with respect to other opportunities to deploy. So you know, I don’t want to make it sound like we’re about to execute on some major transaction – that would be nice and it may happen, but I wouldn’t look at it like that. I would look at it like we have been able to accelerate some of the buyback—you know, the deployment into buyback opportunities, so it’s just unlikely we’ll maintain that pace.
Ryan Krueger – KBW: Okay, got it. Thanks a lot.
Operator: Next we’ll hear from Steven Schwartz with Raymond James.
Steven Schwartz – Raymond James: Hey, good morning everybody. Just some follow-ups, if I could. First on the U.S. group, Greig, you said it was health business. Were you referring to major medical or were you referring to something along the lines of vision or dental?
Greig Woodring: No, major medical.
Steven Schwartz – Raymond James: And we’ve had this before already with one company – is this the hepatitis C drugs?
Greig Woodring: I don’t know the answer to that.
Steven Schwartz – Raymond James: Okay. Then what else did I want to ask? Oh, Canada – you noted it was challenging. You said that operations or that experience improved in June. Was June back to normal, or was it just better than the last five months, the previous five months?
Greig Woodring: June was not—I don’t believe June was quite back to normal, but particularly the last couple weeks of June brought it back close to normal.
Steven Schwartz – Raymond James: Okay. One more, if I could – we always ask this. Jack, asset intensive, what would you consider a normalized run rate there?
Jack Lay: Probably about $40 million pre-tax, I think. You know, it’s going to—depending on what the markets do, it will waver a little bit, but I think that’s a good run rate estimate right now.
Steven Schwartz – Raymond James: Okay, excellent. One more, if I may. Back on Japan and the activity there, would that be with domestic companies or would that be primarily with foreign companies?
Greig Woodring: It’s with both.
Steven Schwartz – Raymond James: With both – okay. Thanks guys.
Operator: Moving on, we’ll hear from Humphrey Lee with UBS.
Humphrey Lee – UBS: Good morning. About the Royal London transaction, I think in the press release you talked about the earnings contribution for the quarter was pretty minimal. Just wondering – where you are in terms of portfolio positioning, and when do you expect to achieve full earnings power for the block?
Jack Lay: Humphrey, this is Jack. We’ve essentially repositioned that portfolio already – that’s been accomplished, so we would expect going forward to be more run rate in terms of earnings on that transaction.
Humphrey Lee – UBS: Okay, got it. And then in terms of the premium growth in U.S. and Latin America traditional, I think in the press release you mentioned how you’re seeing growth in all product lines, but any particular product line that’s been a major contributor for the quarter?
Jack Lay: There was nothing out of the ordinary, so I guess maybe a better way to answer that is it was pretty well spread across all the lines within that operating segment.
Humphrey Lee – UBS: Okay, so kind of like a mixture of the morbidity products and mortality products were kind of helping the growth?
Jack Lay: Right, traditional mortality as well as the health and group businesses and so on.
Humphrey Lee – UBS: Okay, got it. Thanks.
Operator: Our next question comes from Erik Bass with Citi.
Erik Bass – Citi: Hi, thank you. As you look over the next few years, what role do you see alternative capital playing in the life insurance and reinsurance space? Do you see private equity continuing to be a bigger presence in the market, and could you see the securitization market come back, and how do you think about the risks or opportunities for RGA related to that?
Greig Woodring: Well Erik, yes, I think it’s very possible that alternative capital still plays a large role in the coming years. They’ve demonstrated an appetite. I think they’re still interested in the marketplace. There are others looking for runoff solutions. That provides us with more competition, maybe some more opportunities at times because of partnership arrangements, but mostly it’s a little bit off to the side of most of the activity we do. We would view all this as competitive, but not unduly disruptive of our intents in the marketplace.
Erik Bass – Citi: Thanks, and anything that you’re seeing on the securitization front? That market has been pretty dormant since the financial crisis, but anything kind of percolating there to keep an eye on?
Jack Lay: I don’t know that there’s anything that I can see that’s really percolating, but I think there’s a little bit of discussion about it. There’s certainly an awareness that the demand for non-correlated assets that can yield some return is high, so there’s a little bit more awareness and thought given to it. But these securitization efforts take a fair amount of work, so I don’t know of anything that’s off the ground or close to the finish line yet. It could well be that that’s something that picks up in the future.
Erik Bass – Citi: Got it. Appreciate the thoughts, thank you.
Operator: At this time, we have one questions remaining in the queue. Once again if you would like to ask a question or if you have a follow-up question, please press star, one. We’ll take our next question from Sean Dargan with Macquarie.
Sean Dargan – Macquarie: Thanks and good morning. I guess this is another way to ask the question about the pace of share repurchase, but given commentary at the investor day, I was thinking that maybe you would have raised the dividend by more than you did. Is that just being cautious to conserve cash in case there are any acquisition candidates that pop up over the back half of the year?
Jack Lay: Sean, this is Jack. No, I wouldn’t say it’s a consideration of cash because we could have increased the dividend by a larger percentage and it wouldn’t really have used up that much cash. It’s more to have a fairly consistent methodology and track record of dividend increases; in other words, we’re proud of a double-digit, although it’s low double-digit, but it’s a 10% sort of increase, and we’d like to think that we can continue to address every year some meaningful increase in the dividend. So we don’t want to get ahead of ourselves in that respect, but it’s really not necessarily a cash consideration.
Sean Dargan – Macquarie: Okay, thanks. Then in the most recent quarter, we’ve seen an announced acquisition of Protective Life, who I presume has gone head-to-head with you on bids for mortality blocks. Does the new ownership, or the presumed new ownership of PL, would that have any impact on the competitive landscape for block acquisitions?
Greig Woodring: We don’t really think so. We know, of course, both parties very well, and I think they’re both fine institutions and this will make an interesting combined company. But we would view Protective Life as sometimes competitors, sometimes partners, and we’ve had a good dialogue with them about several opportunities, so I’m not so sure that this is anything that’s problematic for us; and in fact, we’re hoping it’s quite the contrary.
Sean Dargan – Macquarie: Okay, thank you.
Operator: As a final reminder, that is star, one to ask a question. Again, that is star, one to ask a question, and we do have a follow-up question from Steven Schwartz with Raymond James.
Steven Schwartz – Raymond James: Hey, thank you. Just a follow-up to Humphrey Lee’s question with regards to the PRT deal in the U.K. Jack, could you go over how that’s going to kind of show up in accounting?
Jack Lay: Yes, we will reflect it as a risk transfer transaction. Are you asking for a—without going through line items, are you asking for a run rate on earnings?
Steven Schwartz – Raymond James: No, I’d love it but I wasn’t asking for it.
Jack Lay: Okay. No, I just want to make sure I understood the question.
Steven Schwartz – Raymond James: I guess I was a little bit surprised that it didn’t show up as kind of a lump sum in revenue.
Jack Lay: Oh, because of the asset transfer? No, we wouldn’t reflect that as revenue. That’s simply an asset transfer. You’ll see it on the balance sheet, obviously.
Steven Schwartz – Raymond James: Okay, so it’s going to come through as premium and loss expense?
Jack Lay: Right.
Steven Schwartz – Raymond James: Okay, that’s what I was asking. All right, thanks.
Operator: It appears there are no further questions in the queue at this time. Mr. Lay, I’ll turn the conference back over to you for any additional or closing remarks.
Jack Lay: Okay, thank you and thanks to everyone who joined us this morning for the call. With that, we’ll end the second quarter results conference call, and to the extent any other questions come up, feel free to call us here in St. Louis. With that, we’ll end the call. Thank you very much.
Operator: Ladies and gentlemen, that does conclude today’s presentation. Thank you for your participation.